Operator: Good morning, ladies and gentlemen. Thank you for standing by. I would like to welcome everyone to the Canaccord Genuity Group Incorporated fiscal 2016 fourth quarter and yearend results conference call. [Operator Instructions] I would like to turn the conference over to Mr. Dan Daviau, President and CEO. Please go ahead, Mr. Daviau.
Daniel Daviau: Thank you, operator, and thanks everyone for participating on the conference call today. With me today is Brad Kotush, our Chief Financial and Risk Officer; and Dvai Ghose, our Head of Global Research. I'll begin by providing an overview of our fiscal fourth quarter and our year-end results for the period ended March 31, 2016. Afterwards both Brad, Dvai, and I will be please to answer questions from analysts and institutional investors. A reminder that our remarks and responses during today's call may contain forward-looking statements that involve risks and uncertainties related to the financial and operating results of Canaccord Genuity Group, Inc. The company's actual results may differ materially from management expectations for various reasons that are outlined in the cautionary statements and discussions of risks in our MD&A. I encourage you to review our earnings release, MD&A, and supplementary financial information, all of which were made available last night. These documents can be found on SEDAR or on the Investor Relations section of our website at canaccordgenuitygroup.com. Fiscal 2016 is a year I'm happy to see the end of. It was a year where activity levels in our core markets continue to be impacted by slowing global growth and depressed energy and commodity prices. A prolonged, volatile market environment impacted performance across our global capital markets operations and our Canadian wealth management operations. On a positive note, our wealth management operations in the U.K. and Europe have steadily increased revenues and profitability on a year-over-year basis. We continue to actively review opportunities to strategically and organically expand this asset and improve its contribution to our overall performance. Looking at our results, Canaccord Genuity Group earned revenues of CAD787 million for the 2016 fiscal year, a decrease of 11% from the previous fiscal year. Including significant items, the company recorded an annual net loss of CAD6 million and a diluted loss per common share of CAD0.21 per share compared to a diluted earnings per common share of CAD0.25 at the end of fiscal 2015. During our fourth fiscal quarter, global equity capital markets activity was down 47% year-over-year, a result of heightened volatility in January and February, following a major market correction. While activity levels began to stabilize in March, capital raising activities for the three-month period were the lowest levels since 2009. Despite this challenging market environment, I'm pleased to say the Canaccord Genuity Group recorded revenue of CAD200 million, an increase of CAD19 million or 10% compared to the previous fiscal quarter. This increase was primarily driven by higher principal trading and advisory revenues. Now, recognizing the trends in the marketplace. During the second half of the fiscal year, we took steps to rationalize our global infrastructure and exit underperforming business lines, so that we can significantly reduce our fixed cost base and stabilize our business. While these initiatives have impacted our profitability in the short-term, we made significant progress identifying areas where we can improve global alignment across our operations, while enhancing the delivery of regional and global service levels to our clients. For the fourth fiscal quarter, we were able to reduce our firm-wide operating expenses, less incentive compensation, by CAD7.1 million compared to the previous fiscal quarter. G&A expenses dropped by CAD5.5 million or 23% since the previous fiscal quarter. These reductions are a testament to the work we are doing to substantially lower our fixed costs, which puts us on track to deliver the projected annual savings of CAD30 million as identified last quarter. We remain diligent on continuing to reduce our fixed cost base, and I am confident that our restructuring initiatives over the recent months leaves us well-positioned to return all our business operations to profitability. Canaccord Genuity Group continues to have a sufficiently strong balance sheet to execute on our business plan, with CAD381 million on working capital and cash and cash equivalent of CAD428 million. Now, before we discuss our business segment results, I'd like to say a few words about compensation. Following an extended period of weakened capital markets, some of our incentive compensation pools were lower than required to provide adequate compensation for select key production teams. In order to retain and incent those teams, we needed to contribute additional amounts to our incentive compensation pools. As a result, our compensation expense as a percentage of revenue for fiscal 2016 was 65%, higher than in previous fiscal years. In light of weakened financial conditions experienced throughout the fiscal year, I, along with Pat Burke, our President of Canadian Capital Markets, made the decision to surrender the full amount of stock awards made to us during the fiscal third quarter in connection with our new senior executive roles. Going forward, the share based portion of our compensation will be governed by our long-term incentive program like all of our other employee partners. Yesterday, we announced our intention to undertake the private placement, as part of our program to increase share ownership by our senior business leaders. This placement is scheduled to close in the coming weeks and will be undertaken in the context of the market on normal market terms. Proceeds will be used in part to fund additional LTIP purchases to further align our employees with shareholders. Along with Pat Burke and many of our other global business leaders, I will be meaningfully participating in this offering. Against the backdrop of a very challenging year, I am pleased to say we were able to deliver a compensation strategy that ensures stability across our platform and protects the best interest of our company and our investors. With that, I'll now provide a brief overview of the business segment results. First, wealth management. At the end of the fiscal year, Canaccord Genuity Wealth Management managed and administered CAD32.7 billion in client assets, approximately 70% of which were managed through our U.K. and European operations. For the fourth fiscal quarter, our global wealth management operations generated revenue of CAD61.4 million, contributing to total fiscal 2016 revenues of CAD252.7 million for this segment. This revenue decrease of 10% compared to the previous fiscal year is largely attributed to lower investment banking activity in our Canadian operation, which puts pressure on commission and fees for this business, which is obviously a key distribution channel for our capital markets transactions. Our wealth management business in U.K. and Europe continues to be an important contributor of stable and reoccurring revenues for the firm. During fiscal 2016, this business earned revenues of CAD138.4 million, an improvement of 10% compared to the previous fiscal year. At the end of the fiscal year, assets under management in this business reached CAD22.8 billion, a year-over-year increase of CAD1 billion. We maintain a strong focus on the level of reoccurring revenues for our wealth management operations to offset the inherent volatility of our capital markets business. At the end of the fiscal year, fee-based assets in our U.K. wealth management business were 70% of total assets. And additionally, client holdings in our in-house investment management products in the region have increased by 24% over the fiscal year, and we continue to attract growing interest in these products from domestic intermediaries and international fund companies. Our Canadian wealth management business generated revenues of CAD108.2 million in fiscal 2016, a decrease of 14% compared to the previous fiscal year. As a result of lower market values over the year and a slight reduction in the number of advisory teams, assets under administration decreased by 14% over the previous fiscal year. However, I am pleased to report that the fee-based assets in this business have grown by 10.3 percentage points year-over-year to account for 44% of the revenue for this business. Assets in our Canadian in-house investment products have increased by 215% over the fiscal year to CAD285 million. During the quarter we also announced an exclusive partnership with Credit Suisse Asset Management, the result of a careful selection process by both parties that allows us to elevate our shared global reach and our commitment to delivering best-in-class investment solutions for advisors and clients in the high network segment. A continued focus on cost containment in this business led to a decrease in total expenses as a percentage of revenue of 2.8 percentage points compared to the previous fiscal year. Non-compensation expenses in this business decreased by CAD7.1 million compared to the previous fiscal year. This includes a 22% reduction in general and administrative expenses for the period. Looking ahead, we continue to focus on improving the infrastructure, advisor and product mix across our global wealth management businesses, initiatives we expect will further contribute to delivering stable and consistent reoccurring revenue for our business. Turning to capital markets. In any market environment we're relentlessly focusing on capturing operating efficiencies and further integrating our global capital markets operation to strengthen cross-border coordination and drive profitability. We are beginning to see the results of our initiative to streamline our global capital markets operation and reduce our fixed cost. Excluding significant items, we were able to decrease total expenses for this business by 6% over fiscal 2016. The impact of our recent initiatives is evidenced clearly in our fourth quarter general and administrative expenses, a decrease by 30 percentage points compared to the previous fiscal quarter, while revenues for this business increased 43% over the same period. For the fiscal year, Canaccord Genuity led 65 transactions, raising a total of CAD4.3 billion. Our capital markets team participated in 177 transactions globally to raise a total of CAD34.7 billion for global growth companies. Our global capital markets division generated revenue of CAD532 million during the fiscal 2016 year, a decrease of 13% compared to the previous year, mainly as a result of the decline in global capital markets activities. Market conditions were particularly difficult during the second and third fiscal quarters, but we are encouraged by improving activity levels in our core focus sectors during the recent months. While it was a challenging year for capital raising activities, revenue generated from advisory activities during the fiscal year increased by CAD6.7 million or a 5% increase year-over-year. During the fourth fiscal quarter, advisory revenues increased by 36% compared to the same period last year, led by our Canadian operation, which contributed 44% of total fourth quarter advisory revenues. During fiscal 2016, our U.S. capital markets generated revenue of CAD217 million, a year-over-year increase of 7% and a record for this business. While operating profits in this business were impacted by higher trading costs and certain investments to strengthen core teams in alignment with our global efforts, we are encouraged by the performance of this segment and confidence that this business will become a strong and profitable contributor to our global franchise over the long term. For the fiscal year, the business earned record advisory revenues of CAD31.2 million, reflecting the solid progress on our diversification strategy. Driven by the performance of our international equities group, our U.S. principal trading business recorded fiscal fourth quarter revenue CAD22.9 million, a year-over-year increase of 26% and a record for this business. For the fiscal year, principal trading activities were CAD72.8 million, an increase of 32% compared to the previous fiscal year. Our Canadian capital markets division had revenues of CAD131.4 million for the fiscal year, of which CAD39.1 was earned during the fourth fiscal quarter, a decrease of 19% compared to the same period last year. This was an exceptionally difficult year for this business, which has historically been a consistent strong performer. In recent months we've made meaningful investment to recruit established industry professionals to help strengthen our offering, and position our business as the dominant independent investment bank in this region. With improving performance in diversified sectors and early signs of recovery in the natural resource sectors, I am confident this business will return to material profitability. Our U.K. and European operation continues to be negatively impacted by market downturn, most notably during the second half of the fiscal year. For the fiscal year the business earned CAD145 million in revenue, a decrease of 7% compared to the previous year, as issuers remain cautious in their approach to capital raising activities, driven by persistent economic uncertainty and the upcoming referendum in June. As part of our restructuring effort, we've taken steps to significantly reduce and refocus this business to improve its long-term stability and profitability. Capital markets activity in the Asia Pacific region was also lower in 2016, which led to a 23% decrease in year-over-year revenues. Our Australian team continues to be a strong competitor and is currently ranked the number five investment bank in that region by value of equity offerings. During the fourth fiscal quarter, we announced the sale of our Singapore operation, a non-core asset. This development allows us to provide more focus on our remaining Asia Pacific operations, which complement the broader capabilities of our operations in North American and the U.K. and Europe. We continue to invest in our operations in Dubai and Tel Aviv, both of which complement our global capital raising activities, and enhance our global distribution to investors with increased demand for exposure to investments and global growth opportunities. Across our global capital markets operation, we are working very hard to align our core offerings to compete globally in our core focus sectors, increasing cross-selling opportunities and ultimately grow our profitability. Recently we've made terrific strides in reorganizing our institutional sales and trading desk to strengthen collaboration between the regions and disciplines. Our specialty teams are now working together to harness opportunities and deepen client relationships to drive incremental revenue growth in all of our markets. Looking ahead, we continue to be well-positioned to perform in our key markets. Broad market fundamentals indicate we are entering an improved environment for our business, activity in all our markets has strengthened in recent months and I anticipate it will continue into the new fiscal year. For fiscal 2017, this will be an important year for our firm, as we put a difficult year behind us and emerge as a stronger, more focused competitor in our global investment banking and wealth management businesses. While we will always have to navigate developments that are beyond our control, I am confident that the benefits of our restructuring and cost containment initiatives will help to mitigate the impact of these events on our bottomline results. We begin the year on a solid footing and well-positioned to maximize shareholder value by creating a more efficient and aligned global business. Working as partners, we have improved efficiency across our operations, we are aligning our business within and across our geographies, we are driving performance in each of our individual businesses. We are focused on creating additional stability and we are net income focused, and most importantly, we are strongly aligned with our shareholder. Thank you for patience during this period and your support as we navigate new market fundamentals and restructure our business to outperform.
Operator: [Operator Instructions] Your first question comes from the line of Paul Holden from CIBC.
Paul Holden: So curious given the cost savings initiatives you've put in place where you would estimate breakeven to be sort of on a quarterly revenue basis because this looks like a quarter where incentive comp were normalized, you probably would have roughly breakeven and made a small profit?
Daniel Daviau: I think you're right, Paul, but things are moving around. We've obviously achieved a lot of cost savings here, but I think absent catching up for previous bad quarters, which is what we did in this quarter by elevating our comp ratio, if you put a normal historical comp ratio on CAD200 million revenue, so that would have been CAD10 million more and that would have been a slight profit, I think that's fair to say.
Paul Holden: And then in terms of the surrender of the share based comp from earlier this year resulted in a charge on the income statement. Just wondering if Brad or someone can explain why that's a charge and not a net positive on the income statement?
Bradley Kotush: I can't explain the origin of the accounting rules, and IFRS required us to do that, but the corresponding credit goes straight to equity, so the net effect to shareholder is it's flat, you just don't get the benefit because of the characterization of that award forfeiture surrender, and so we had to put it through the P&L, but there is a corresponding credit to equity, so that it's flat from a shareholder’s perspective.
Daniel Daviau: I got tired of arguing with the accountants on this, it is completely [indiscernible] to me. I just could not understand it, but that being said, I mean this wasn't driven by accounting, this was a poor year, and Pat and I felt that it was the right thing to do. Pat and I certainly wanted to be aligned with our other employees, and we want our employees aligned with our shareholders. We're doing a private placement. Pat and I are going to be participating in that private placement exactly on the same terms as all of our other employees. We felt that was a better way to kind of align ourselves with shareholders than somebody handing us a bunch of free stock.
Paul Holden: And is it fair to look at this private placement as sort of in a way moving a little bit closer to a partnership-type model?
Daniel Daviau: Certainly, when you look at what we're trying to do, we're trying to align our employees with our shareholders. That is a fundamental objective, and it's been an objective since I've taken this job. So when you have your employees going into their pocket, and writing a check to subscribe for shares of our company, that changes people’s attitudes. I've lived through that before in the past. This stock will have significant liquidity constraints around it, like it will be you can't sell it for a long period of time. I won't get into the details at this stage. And we expect this to be oversubscribed from our employee shareholder base and have material restrictions on resale. So, I think it's an exciting opportunity for our employees. Our senior group has bought into this, and we'll get this done in the next couple of weeks, but we felt it was important to preannounce it to the market before we did it.
Paul Holden: And what is it that gives you the confidence that it will be oversubscribed?
Daniel Daviau: I've spoken to everybody.
Paul Holden: And then just quickly a last question would be, the warrants attached to private placement, can you just explain the reason for the warrants?
Daniel Daviau: Because I wanted to oversubscribe my employees, I mean it’s half-a-warrant. I won't get into the exact terms, but it's a half-a-warrant, it's all market terms, nothing here. Let's put it this way, the nature of this offering with the resale restrictions and the nature of the warrant, which will be a three-year European style warrant, you can't sell it or do anything with it for three years. It's not appropriate for the vast, vast majority of anybody else's, if you're not an employee, its not appropriate for an institutional investor. So it's going to be something that the employers are making a long-term bet on our company with.
Operator: Your next question comes from the line of Sumit Malhotra from Scotia Capital.
Sumit Malhotra: Just to go back to that breakeven question, I want to be very specific on this. So are you of the view that with the expense reductions that you have in the pipeline still as you work through this process, is CAD200 million the breakeven number or is it lower than that if you are looking at where your expense base is going to go?
Daniel Daviau: The simple math you would do here, Sumit, and you would do it much better than I would, just take 65% or 68% last quarter, turn it to 60%, which is our historical kind of comp ratio of CAD200 million in revenue, that's CAD16 million. Take CAD16 million pre-tax, put it to that minus CAD0.09, you will end up with positive CAD0.05 or CAD0.06. So I think that's a good working assumption. We probably have more expenses to cut, but we're making pretty good progress, down CAD7 million quarter-over-quarter, down CAD3 million or CAD4 million on a trailing 12-month basis, so we are making progress on the initiatives that we spoke about. Good progress, arguably ahead of schedule.
Sumit Malhotra: And so you quoted a number that was CAD7 million quarter-over-quarter, and let's call it, fixed costs. And I don't know if last the December quarter's number was a higher one. So I'm not sure if that's the right base we should be measuring, the CAD30 million progress of, but from your perspective that number that you quoted, the fixed cost this quarter, there is more coming in that number as we progress through fiscal 2017. Is that the fair statement?
Daniel Daviau: Yes, the cost reductions were coming from two primary areas; things that we can't control that were not compensation costs, so you've seen a lot of that in the G&A, in the comps and equipment, that's kind of the heavy lifting. The other costs were going to be compensation costs, which is why we took out 140 people, roughly speaking, or 130 people. That helps you keep your comp ratio under control, so it doesn't spike up as it's done from time-to-time. So the cost reduction comes from both parts. We are making progress on both of those fronts. We laid-off virtually all of those people now that we had identified. And we're still block and tackling through some of our costs reduction, many millions of dollars of which take six or 12 months to get out of commitments we've made well in advance, some charity commitments or other commitments, take a while to get out of. And we've already gathered number. It just doesn't kind of show up on our income statement quite yet.
Sumit Malhotra: Two more numbers ones and then I have a couple on the actual business. So I'll direct this to Brad. So on capital, again, I want to just kind of put a stake on the ground on the few things. Depending on how you calculated your net working capital to somewhere around CAD385 million, is CAD300 million the level that we should still think of as the floor? That's the first part. And then secondly, on this private placement, I get what you're doing in terms of the alignment. But again, from the shareholder's perspective, in the share count next quarter, do we see a 10 million share increase as a result of the placement plus the warrants. How all that come through in the numbers?
Bradley Kotush: The answer to your first question is yes. And the answer to your next question is it's probably closer to 7 million. And remember that's going to come through on an average weighted basis in terms of the EPS. And to the extent of, obviously, when and if the warrants are in the money then they would be included in the fully diluted calculation, but again on a weighted average basis.
Sumit Malhotra: So I mean, it's not insignificant increase to the share count, but clearly, you are of the view that what this does for the direct comp ratio, and maybe more importantly, the alignment of the employee basis is the bigger takeaway for Canaccord?
Bradley Kotush: Yes, 100%, Sumit. Like this is fundamental to our business going forward. I can't think of a more important initiative we're undertaking in the last kind of six months since I've been CEO or the next six months than doing this. This will fundamentally change the attitude of everyone around here and drive our business forward. I don't think it increases our comp ratio or doesn't certainly increase it materially. And it will drive business performance 100%.
Sumit Malhotra: A couple of things on the actual business. So first off, your advisory fees were obviously very strong this quarter. The part I wanted to focus on though was the underwriting, which was down to about CAD17 million now. Obviously, the first three months of the calendar year were certainly not positive from a market perspective, but CAD17 million of underwriting -- when I look at the U.K. and Europe and your commentary on some of the changes you're making in that business, If I'm looking at this right, it was less than CAD2 million contribution and not much better three months ago. Is this a part of your revenue stream that is going to become insignificant with the changes you're making or was this strictly a reflection of the market? Because I think it's fair to say that when this company is performing at its best, underwriting is usually the key line that is driving the bus so to speak.
Daniel Daviau: Well, each of our geographies are different, but you remember January, remember, when we all came back from Christmas and the markets were --
Sumit Malhotra: Sadly I do, I do.
Bradley Kotush: Right. So that shutdown underwriting everywhere globally in January and February, there was zero business done. I'm rounding to zero, but there was no business, not by us, by everybody. So things started to get a little bit busy on March, but when you missed two months of underwriting, hard to make that up. So I don't think that's a fair number to look at and say things have fundamentally changed. We've continued to invest in our Canadian franchise and we expect strong underwriting numbers there, historically strong underwriting numbers there. The U.S. capital markets just opened up recently in terms of underwriting. You've seen a level of activity. In the U.K., we have restructured the business. We took 20% of the employees out. We changed our teams. We changed some of the focus of our core activity. And the U.K. also has a Brexit poll coming up, so there is still uncertainty in the underwriting environment in the U.K. I don't think we're doing substantially disproportionally worse than others, but we continue to be well-positioned. And if I had to guess, I'd say, there is a marginal recovery in underwriting revenues as we speak right now in the U.K. We're not out of the business and it's not going to be an insignificant part of our revenue. For the year U.K. continue to represent 27% of our capital markets activity, broadly speaking M&A and underwritings. So we can't say, it's an insignificant amount of our activity there.
Sumit Malhotra: No, advisory, you're right has been very strong. It's just, as I look back through that period of time, a bulk of which was in 2014, from an underwriting perspective, the U.K and Europe was contributing around CAD20 million per quarter. When I hear you talk about some of the changes you're making in that business, I want to make sure that -- or I guess, the question is more specifically, do you feel that the revenue outlook for underwriting in the U.K. and Europe is now substantially different? I don't think that's the case, but I'd rather hear it from you?
Daniel Daviau: As I indicated, Sumit, it's getting better. Like I don't think it's as bad as it used to be. I think there was a picked up generally in activity in the U.K. My only cautionary note is that we've refocused the teams to core global verticals, so that we can compete successfully, no differently than our strategy in the U.S. So we were in the U.K.; Brad and I were in the U.K. last week, Dvai was with us as well and just is making sure that we're executing on the strategy that we've laid out.
Operator: Your next question comes from the line of Graham Ryding from TD Securities.
Graham Ryding: I believe you had a target of CAD30 million in cost savings for fiscal 2017, just wondering maybe on the non-compensation side, I think the CAD10 million of that was related to non-comp. Where are you at now relative to that run rate? It sounds like you pulled those CAD7 million quarter-over-quarter, like are there further increases to come or have you realized most of the non-comp already?
Bradley Kotush: Last quarter it was probably an above average realization. There was a sequential drop in expenses. I think if you were to look at our longer term trend it's probably around CAD3 million to CAD4 million reduction, so we think that will average out over the next four quarters. We're continuing to look at that. But we are aiming for CAD10 million on an annualized basis, and we think we're going to hit anywhere between CAD12 million to CAD16 million. So that's a range. And we'll see you're going to see some bumps quarter-to-quarter, but that's what we think the trend is.
Graham Ryding: And then just on the non-comp side, Dan, you talked about a 16% comp ratio target. Is that what we should be sort of looking for you to try to hit this year in fiscal 2017?
Daniel Daviau: I think that's been our historical measure. What's important in comp is just math, how much we pay divided by our revenue, you get to 60%. It's how we do it, that's the important part, right. Yes, some of our comp is going to be revenue based, but some of our comp is going to be net income based as well. So again, one of our strategic objectives, as I said before, is alignment with our shareholders and our shareholders are concerned about our profitability and that's what I want our senior employees to be focused on as well.
Graham Ryding: Looking at the U.S., in particular, revenue was up, but there was an operating loss in that platform. I understand that you've been investing in that platform. So how should we think about fiscal 2017? The revenue is, call it, similar to 2016 or up slightly? Are you now at the scale and in a position to generate earnings or does it still need to sort of grow into itself a bit more?
Daniel Daviau: Yes, I mean, realized that we're reporting on a Canadian dollar basis and realized that the dollar helped show that increase, I think on a U.S. dollar basis, we probably wouldn't have seen the same increase, arguably we would have seen a slight decrease. I'm looking at Brad when I say that. So we were kind of skaddle on side a little bit with a strong U.S. dollar relative to the Canadian dollar. So that's the first point I'd make. The second point I'd make is the mix of business as well, does it come from our principal trading business, does it come from our traditional underwriting business or M&A business, again, that affects our level of the profitability in that market. But the business is a sub-scale business. The business needs to be bigger given the cost and infrastructure of operating in the U.S. It needs to be a bigger business. It's just not the right time to grow that business materially. Where we're growing it is in key focused global sectors, sectors that are aligned with the rest of our business or in line with our existing verticals in the U.S., so when you look at what we've done there, we brought on a REIT/ATM team, which matches some of our strengths in Canada and in Europe. We've brought on a team in Nashville, that's healthcare IT. Little hint, healthcare and technology are our two biggest offerings in the U.S. So when we tie those in together, that makes sense. We've continued to invest in our electronic trading capability in the U.S. and we've continued to invest in our international equity group in the U.S. We have made significant investments in the U.S., growing our offering. We've opened up an office in Washington for some of our industrial verticals that align with our European operation. So we've continued to invest and grow in the U.S. And yes, there is a cost of that, but it's a moderate growth initiative without impacting profitability too much. It's easy to grow. It's hard to grow profitably. So we're trying to balance that objective in our U.S. business.
Graham Ryding: In the U.K. capital markets area, can you give us a little bit more color on what areas you pulled back from and what areas you're prioritizing going forward?
Daniel Daviau: I want to be careful competitively as to what I've seen, but we've certainly made significant progress refocusing this business in areas where we think we can outperform. Again, we've taken 50 people out of 300 or whatever it's been, it was a significant restructuring. That being said, we repositioned our equity research to more closely align with what our global focus is. Again, we've broadened hires on the REIT side, the financial side, the healthcare side, the technology side. We've made senior hires in some of our other areas in the U.K. So again, I don't want to go through product-by-product in terms of what we've done, but we have certainly made a focus in the same key verticals that we're focused in, in other places globally.
Graham Ryding: And you added some people you said in the Canadian capital markets area. Where in particular did you invest?
Daniel Daviau: Well, we invested right across the board. Well, we've brought in a senior banker from one of our competitors, for example, in our industrial area in investment banking. We've brought in mining, specialty sales and trading people, we brought them in from Scotia. We brought in Pat Burke, as you know, as the President of our Canadian business. And he comes with a strong set of relationships. We've repositioned our entire team in Calgary and brought in two new senior bankers in Calgary. We've continued to hire on our desk. We've repositioned several of our people in research, again, all focused to align ourselves internally.
Graham Ryding: And then just lastly, the headcount, it was down 63 quarter-over-quarter across the firm. Is there anymore reductions to expect next quarter or has everything been fully baked in, in terms of the restructuring?
Bradley Kotush: Graham, everything has been baked in, in terms of restructuring. There's some things that may still come through in terms of headcount, but we don't expect any further charges, if I assume that's the gist of your question.
Graham Ryding: Yes, that's right. I'm actually not asking for anymore reductions, just is it fully baked into the numbers as of Q1 or is some of the restructuring that you announced, was it post the quarter?
Bradley Kotush: All the restructuring charges that we expected to take were incurred in the last quarter. Everything we planned has been put through the books.
Operator: Mr. Daviau, there are no further questions at this time, please continue. End of Q&A
Daniel Daviau: Well, listen, thank you everybody for helping us getting through a difficult period and look forward to happier times and happier quarters in the months and the quarters to come. Thanks very much.
Operator: This concludes today's conference call. You may now disconnect.